Operator: Good day, everyone, and welcome to Symantec's Fourth Quarter 2011 Earnings Conference Call. Today's call is being recorded. At this time, I'd like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relation. Please go ahead, ma'am.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss fiscal fourth quarter and fiscal year 2011 financial results. With me today are Enrique Salem, Symantec's President and CEO; and James Beer, Symantec's Executive Vice President and CFO. In a moment, I will turn the call over to Enrique. He will discuss Symantec's execution during the quarter, James will provide highlights of our financial results as well as discuss our guidance assumptions as outlined in the press release, and then, Enrique will discuss our focus areas for fiscal year 2012. This will be followed by a question-and-answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations website at symantec.com/invest. A copy of today's press release and supplemental financial information are posted on our website and a copy of today's prepared remarks will be available on our Investor Relations website shortly after the call is completed. Before I begin, I'd like to remind you that we will review our financial results focusing on year-over-year, constant currency growth rates, unless otherwise stated. Sequential growth rates are based on as reported results. For the March quarter 2011, the actual weighted average exchange rate was $1.37 per euro and the end-of-period rate was $1.41 per euro compared to our guided rate of $1.35 per euro. For the March 2010 quarter, the actual weighted rate was $1.38 per euro and the end-of-period rate was $1.35 per euro. We've included a summary of the year-over-year constant currency and actual growth rates in our press release table and in our supplemental information, which are available on the website. Some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, cash flow from operations, amortization of acquisition-related intangibles and stock-based compensation for the coming quarter contain forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in these statements. Additional information concerning these risks and uncertainties can be found in the company's most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with Generally Accepted Accounting Principles or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and on our website. And now I would like to introduce our CEO, Mr. Enrique Salem.
Enrique Salem: Thank you, Helyn, and good afternoon, everyone. I'm pleased to report our third consecutive quarter of strong results. Bookings grew double digits again this quarter, resulting in record revenue and deferred revenue. Our performance was driven by market share gains as well as strength in Backup, SaaS, Data Loss Prevention and Consumer. In addition, our recently acquired businesses once again exceeded expectations and delivered strong results. Now let's take a closer look at some of the highlights from the quarter. The Consumer business delivered its 10th consecutive quarter of year-over-year revenue growth. We continue to acquire and retain more customers given the strength of our product releases and the ongoing development of our e-commerce capabilities. Our new e-store enables us to upsell and cross sell more of our products and services. During the quarter, we successfully launched Norton 360 Version 5, which has received over 95 positive reviews and awards to date. Norton 360 now includes enhanced PC tuneup, along with access to features such as the Norton Cyber Crime Index, Norton Online Family and Norton Safe Web. Over the past several years, we've expanded our consumer offerings to address the evolving needs of users. We now offer several solutions beyond traditional security, such as live services, online backup and online safety services. Norton Online Family achieved a milestone, with over 1 million registered families worldwide. These new offerings contributed 1 percentage point of revenue growth for the Consumer business this quarter and accounted for 4% of total consumer revenue. We expanded distribution of our free Norton PC Checkup and Norton Security Scan services to include partners such as PcDrivers and the Ask Partner Network. Many consumers who take advantage of these solutions are not using traditional Norton products. This gives us the opportunity to expand the value we bring to these customers by introducing them to our full line of security suites and other services. We also expanded distribution of our traditional Norton products into alternative channels such as D-Link, Webster Bank, M&T back and TechAmerica. We continue to see opportunities beyond the PC through our Norton Everywhere initiative. We are offering Norton Mobile Security to customers around the globe through our broad multichannel distribution network. Recent partner wins include carriers such as T-Mobile Austria and KDDI, retailers such as Dixons and OEMs such as Samsung through its app store. All of these parters have chosen to include Norton Mobile Security, along with their Android phone and tablet offerings. A beta version of our mobile security offering is available in the Android market, allowing us to get valuable direct feedback from an increasing number of end users. While early days, I am pleased with the inroads we are making in providing customers a hassle-free online experience across mobile phones, tablets and smart devices. Now I'll turn to our Enterprise business. I'm very pleased with the sales team's execution this quarter. Our disciplined account management and focused initiatives for selling across our portfolio have had a positive impact on our sales activity. During the quarter, 7 of our 13 transactions over $10 million included sales from our Security, Backup and Storage businesses. We signed multiyear agreements with 2 of the world's largest financial institutions for deployment of our Storage Foundation, NetBackup and Data Loss Prevention products. I'm also pleased with the sales team's ability to cross sell our encryption solutions with our security products into various customer segments and verticals. A U.S. services company signed a multi-million dollar contract which includes Control Compliance Suite, encryption, user authentication and data loss prevention. Moving on to our Backup and Archiving business, our recently refreshed backup portfolio further differentiates us from the competition and is driving growth for this business. By integrating deduplication, archiving and virtualization support features into these products, we have made it easier for customers to adopt and standardize on our solutions. Customers value our ability to improve storage efficiency and increase infrastructure utilization as well as reduce their total cost of ownership. NetBackup, the number one information management solution for the enterprise, posted strong double-digit bookings growth and we are gaining share. This was driven by the rapid adoption of deduplication and demand for virtual machine protection. The team closed the largest transaction in NetBackup's history. We continue to beat the competition worldwide. Our capacity base pricing is helping us to capitalize on the unprecedented rate of information growth and providing customers with a simpler way to deploy, manage and track licenses. For the March quarter, 36% of new license bookings for NetBackup utilized this model. Earlier this year, we launched the industry's only backup and deduplication appliance. We are seeing strong customer adoption of our all-in-one hardware and software solution. In the mid-market, Backup Exec delivered another quarter of strong results. We are seeing continued adoption of Backup Exec 2010, which has been one of our strongest backup releases to date. Small and medium-sized businesses are benefiting from simplified information management through integrated deduplication and virtual machine protection. We continue to maintain a strong lead over our competition. We are expanding Backup Exec into new delivery models with Backup Exec.cloud, a SaaS offering and a new mid-market backup appliance. We expect both of these offerings to be released later this year. Last week, we announced V-Ray, which extends our information management leadership in virtualized environments. Due to a lack of visibility, customers leaving virtual machines unprotected as they're finding it difficult to manage, recover and dedup information. Our internally developed technology provides organizations with complete visibility into virtual and physical backup images, simplifies recovery and ensures that all machines are protected. It guarantees continuous data protection as well as maximizes return on investment from server virtualization. Given V-Ray's great value proposition and positive customer feedback, we are confident it will further differentiate our backup products from the competition. Our market-leading archive product, Enterprise Vault, posted double-digit bookings growth driven by strong e-Discovery revenue. Customers are dealing with unprecedented growth in unstructured information, making it difficult to capture, categorize and index key information. Enterprise Vault helps customers simplify information management as well as enforce retention policies. Last week, we announced Enterprise Vault 10.0, which is scheduled to be available in the second half of 2011. Enterprise Vault 10 will bring together the breadth of our security and backup portfolio by integrating our archiving capability with data loss prevention, encryption and mail security. This allows us to deliver content aware classification, giving customers the ability to automatically discard irrelevant data. I'm pleased with the progress we're making in helping our customers migrate to Symantec's next-generation information management solutions. In our Enterprise Security business, we continue to do well in the enterprise and large enterprise segments. Strong results were led by DLP, which saw revenue nearly double this quarter. Our DLP solution continues to shift the focus of security to protecting information, not just infrastructure. CISOs across all industries appreciate our ability to solve the security challenges they're facing as information continues to grow and threats become more targeted and more sophisticated. This has resulted in larger security transactions that include information protection solutions, as well as our endpoint security, management and compliance suites. We're making progress in the SMB security market by focusing on the unique needs of customers and partners in this segment. We plan to release the next version of Symantec Endpoint Protection Small Business Edition later this year. We're building on the successes realized in other parts of our businesses to enhance our enterprise products and service offerings. We're taking consumer success in providing the fastest, lightest and most effective protection capabilities and delivering a similar feature set that addresses the need of small businesses. In addition, we've implemented an extensive beta program as part of our commitment to quality, given it is one of the key processes that made the launch of our backup products so successful. I'm encouraged with the progress the development team is making on this key release and the diligence of our channel sales team in preparing and educating partners as well expanding participation in our SMB partner specialization program. Our SaaS offerings, known as Symantec.cloud, are leading the way to deliver security and management services from the cloud. SaaS realized healthy bookings growth in the quarter. Bookings in the Americas and APJ were particularly strong as we continue to expand our footprint outside of EMEA. We increased cross selling of our e-mail, archiving, Web and endpoint security SaaS solutions into the large enterprise install base. We now offer 16 SaaS solutions globally. We're helping customers gain visibility and control their information and applications there in the cloud. We've partnered with Salesforce.com to launch Symantec Security Assessment for Salesforce. This new security application is designed to help organizations to extend the visibility of their IT infrastructure to include cloud-based applications and is scheduled to be available on Salesforce's AppExchange. We also plan to integrate this new security application with our Control Compliance Suite to provide customers a single view across information and applications that reside on premise and in the cloud. In addition, we realized another quarter of double-digit bookings growth in Managed Security Services. Cardinal Health, a Fortune 20 company, chose to implement our services to drive efficient and effective IT security management. Customers value our expertise in providing realtime global protection from increasingly sophisticated and complex threats. Our acquisitions exceeded expectations on all metrics as the team executed against our plans to integrate and grow these businesses. The SSL business posted its largest booking quarter ever and grew the installed base double digits in both the premium and value segments. We continue to tie our encryption offerings to our DLP sales as customers increasingly look to solve their information protection challenges in a more holistic way. The progress we've made in effectively integrating acquired technologies and leveraging our sales force and partner network are making a difference. I'm pleased with the team's ability to act quickly and streamline operational integration. In conclusion, we've closed the year on a strong note driven by the strength of our industry-leading products and technologies. We started the fiscal year with a clear set of priorities and as I look back over the year, I'm proud of what we've accomplished. Our Consumer, Backup, SaaS and Data Loss Prevention businesses are performing well, and I'm pleased with the stabilization in the Storage Management business. We've made great strides in effectively integrating our acquisitions and leveraging our distribution network to successfully grow these businesses. I'm confident that we've laid the foundation for a strong fiscal year 2012. And now I'll turn it over to James for a review of our financial results.
James Beer: Thank you, Enrique, and good afternoon. We posted better-than-expected fourth quarter results for each of our key financial metrics driven by solid bookings across all segments and geographies. Our record revenue and deferred revenue were as a result of strength in our Backup, Consumer, Data Loss Prevention and Software as a Service offerings as well as continued strong execution by our recently acquired businesses. First, I'll review the financial results of our fiscal year 2011. GAAP revenue totaled $6.19 billion, up 4% in constant currency from the previous year. Non-GAAP operating margin of 24.8% was down 280 basis points from the year-ago period. Non-GAAP earnings per share were $1.42, down 5% year-over-year as reported. Excluding the purchase accounting related to deferred revenue write-down of $165 million from our 3 acquisitions, non-GAAP operating margin would have been 26.8%, down 90 basis points from the previous year and non-GAAP earnings per share would have totaled $1.58, up 6% year-over-year as reported. The year-over-year margin decline reflects the growth of our lower margin emerging businesses and increased enterprise commissions costs associated with significantly higher fourth quarter bookings that will be reflected in our revenue during the coming quarters. As a result of our strong bookings performance, we closed the year with a record $3.82 billion in GAAP deferred revenue, up 16% year-over-year and generated $1.8 billion of cash flow from operations, up 6% year-over-year as reported. Capital expenditure totaled $268 million. Now I'll review the financial details of the March quarter. GAAP revenue totaled $1.67 billion, an increase of 8% versus the March 2010 period. Excluding the deferred revenue write-down, revenue growth would have been 11%. License revenue grew 10% year-over-year, driven by strength in our backup and DLP businesses. This is the first quarter of year-over-year license growth since September 2008. Content, subscription and maintenance revenues continued to grow steadily, increasing 7% year-over-year. Subscription sales from our consumer, Software as a Service and authentication solutions accounted for approximately 37% of total revenue, up from 34% in the year-ago period. The U.S. dollar strengthened 1% against the euro as compared to the year-ago period. Towards the end of the quarter, however, the U.S. dollar weakened significantly against the yen, increasing our international revenue as measured in U.S. dollars. Overall, foreign currency movements positively impacted revenue growth by 1 percentage point year-over-year and approximately half a percentage point sequentially. The tax rate for the quarter was 23.1%, below our guidance of 27%, primarily due to a one-time offshore tax benefit associated with the Veritas tax assessment for 2000 and 2001. Net income of $297 million resulted in fully diluted non-GAAP earnings per share of $0.38. Relative to our guidance expectations, we generated $0.09 of EPS benefit from better-than-expected revenue, lower OEM placement fees and one-time tax benefits. These benefits were offset by 6% of EPS dilution, driven primarily by higher-than-expected sales commissions, given the strong bookings and deferred revenue generated in the quarter. Excluding the deferred revenue write-down of $50 million from our recent acquisitions, EPS would have been $0.05 higher at $0.43, up 8% year-over-year as reported. The Consumer business generated revenue of $514 million, up 5% year-over-year, driven by improving renewal rates, upselling customers to our premium suites and cross selling customers to our new service offerings. GAAP operating margin for our Consumer segment was 47% as compared to 44% in the March 2010 quarter. Consumer operating margins stabilized over the course of the year as expected. Turning now to the Enterprise business, our sales execution continued to improve this past quarter. We closed a total of 489 transactions valued at more than $300,000 each, up 32% year-over-year. 120 of these transactions generated more than $1 million, up 38% year-over-year. Of our deals valued at more than $1 million, 46% included sales from both our Security and Storage segments. In the $300,000 and greater deal size category, the number of transactions involving both security and storage increased by 137% year-over-year. We generated 13 transactions valued at more than $10 million as compared to three such transactions in the March 2010 quarter as we were successful in selling the value inherent in the breadth of our security, backup and storage management portfolio. The Storage and Server Management segment generated revenue of $626 million, an increase of 7% as compared to the March 2010 quarter. Revenue from our Backup and Archiving business increased 16% year-over-year, driven by our differentiated deduplication and virtual machine protection features. Revenue from our Storage Management business decreased 7% year-over-year as a result of weak bookings performance in the first half of fiscal year '11. However, I'm pleased that we recorded our second consecutive quarter of stable year-over-year bookings in the Storage Management business. GAAP operating margin for our Storage and Server Management segment was 44% as compared to 47% in the March 2010 quarter, driven by higher sales commissions resulting from strong deferred revenue growth during the quarter. The Security and Compliance segment generated revenue of $446 million, up 21% year-over-year, driven by strength in DLP, Software as a Service and authentication services. Total revenue for the 3 encryption and authentication businesses we acquired in fiscal year 2011 was $81 million compared to our expectations of $70 million. The VeriSign Security business performed better than expected, generating revenue of $61 million, while PGP and GuardianEdge posted revenue of $20 million, also beating our expectations. The combined EPS dilution from these acquisitions was $0.015, $0.005 less dilutive than our expectation of $0.02. GAAP operating margin for our Security and Compliance segment was 13% as compared to 28% in the March 2010 quarter, driven by increased expenses from our 3 acquisitions and higher sales commissions. Excluding the deferred revenue write-down, the Security and Compliance operating margin would have totaled 22%. Our Services business generated revenue of $87 million as we continued to transition our consulting practice to specialized partners. GAAP operating margin for our Services segment was 7% as compared to 11% in the March 2010 quarter. Turning now to total company margins, non-GAAP gross margin was 85.8% for the March 2011 quarter, up 50 basis points from the year-ago period. Non-GAAP operating margin was 24.1%, down 390 basis points compared to the March 2010 quarter, primarily driven by our acquisitions and higher commission expenses. Excluding the effects of the acquired deferred revenue write-down, our operating margin for the March quarter would have been 26.4%. We generated another quarter of strong operating cash flow. Cash flow from operating activities for the March quarter totaled $689 million. We exited the March quarter with $2.96 billion in cash, cash equivalents and short-term investments, with approximately 46% of our cash balance in the U.S. During the quarter, we spent $180 million to repurchase approximately 11 million shares at an average price of $17.86. Now I'd like to spend a few minutes discussing our guidance for the June 2011 quarter. We are assuming an exchange rate of $1.42 per euro versus the weighted average and end-of-period rate of $1.26 per euro from the June 2010 quarter. Our guidance assumes an effective tax rate before consideration of any loss from our joint venture of 27% and a common stock equivalents total for the quarter of approximately 765 million shares. Our CSE guidance does not include the potential for an increase in the share count associated with our convertible notes in the event that our average stock price is at or above $19.12 for the quarter. Thus, for the June 2011 quarter, we expect GAAP deferred revenue to be in the range of $1.57 billion to $1.59 billion as compared to revenue of $1.43 billion during June 2010. We expect year-over-year revenue to be up 10% to 11% on an as-reported basis. The VeriSign Security business is expected to contribute $70 million to our June quarter revenue. As a reminder, we will complete a full year of operations for PGP and GuardianEdge in the June quarter, and as such, we will no longer be breaking out guidance for these businesses. GAAP earnings per share are estimated to be between $0.19 and $0.20 as compared to $0.20 in the year-ago period. Non-GAAP earnings per share are estimated to be between $0.36 and $0.37 as compared to $0.35 in the year-ago period. We expect $0.01 of dilution as a result of our VeriSign acquisition. Including $30 million of deferred revenue write-down amortization for the June quarter, non-GAAP earnings per share would be higher by approximately $0.02 and would be expected to be between $0.38 and $0.39. GAAP deferred revenue is estimated to be between $3.6 billion and $3.63 billion compared to $3 billion at the end of June 2010. We are expecting deferred revenue to be up 20% to 21% on an as-reported basis. 72% or $1.14 billion of our June quarter revenue is estimated to come from the balance sheet. Also, in the June quarter, we expect to repay the remaining $600 million of our 2011 convertible notes from our domestic cash balance. In conclusion, we were pleased with our strong bookings performance at our fiscal year end. We will continue to focus on consistent execution and managing our expenses judiciously to drive top line growth in the coming fiscal year. And now I'll turn it back to Enrique.
Enrique Salem: Thank you, James. I'd now like to take a moment to discuss our focus areas for this fiscal year. This year, we will build on the progress we made in 2011. It's clear that a handful of key trends are transforming the industry and having a profound impact on both consumers and enterprises. Customers are looking for ways to build and use the cloud to improve efficiency. They also want to virtualize their environments to save money and they want to enable the use of personal mobile technology in the workplace to enhance productivity. Meanwhile, information continues to grow exponentially and threats are becoming more sophisticated and more targeted. This year, we will execute on our vision and strategy by delivering solutions at all customers to confidently adopt cloud, virtualization and mobile technologies. We'll also focus on energizing our core businesses by helping customers deal with the challenges of rapid information growth and new, more targeted and sophisticated threats. We will pay particular attention to the SMB market across both of these priorities, tailing more of our solutions and go-to-market efforts to unique needs of the SMB customer. We look forward to sharing more details with you at our upcoming financial analyst day. And with that, I'll turn it over to Helyn so that we can start taking some of your questions.
Helyn Corcos: Thank you, Enrique. Ruthie, will you please begin polling for questions?
Operator: [Operator Instructions]
Helyn Corcos: While the operator is polling for questions, I'd like to update you on a few upcoming events. We will be hosting our financial analyst day on Thursday, May 26 in New York. Please note that registration is required to attend the event. In addition, we will be presenting at the JPMorgan Conference on May 16 and the Bank of America Merrill Lynch Conference on June 2. Lastly, we will be reporting our fiscal first quarter results on July 27. For a complete list of all of our investor-related events, please visit our Events Calendar on the IR website. Ruthie, we are ready for our first question.
Operator: We'll take our first question from Brad Zelnick with Macquarie.
Brad Zelnick: James, in regard to your prepared remarks and comments on sales and marketing expense in the quarter, you talked about lower margin emerging markets -- strong performance in emerging markets, which are of the lower margin, and you also talked about bookings outperformance and accelerators in your enterprise comp plans. First off, can you just explain to us a little bit about the emerging markets and why it is that the business there has a higher cost of sale? And also, as it relates to the comp plans, can you maybe talk a little bit about how they may have changed going into this year? Are the accelerators any different? And should we expect to see any more leverage out of them?
James Beer: Well, with regards to the first point, the remarks I made earlier was around our emerging businesses rather than the emerging markets per se. So I was talking about things such as our Hosted Services business, our Appliances business, that sort of thing. We're pleased with the growth opportunities that we're seeing and that we foresee for the future here. But certainly, as we work to scale those businesses, we're seeing lower margins for those segments than for the corporate average, if you will. So as those businesses scale, I think the margin contribution from them will improve. Appliances as well, probably structurally, are lower margin part of the overall products set but a very important part of the future.
Brad Zelnick: And on the comp plans, are we going to see any more leverage out of them in 2012?
James Beer: We haven't made significant changes to the comp plan in 2012. We were pleased with the bookings performance that we got there in fiscal '11. And we're going to continue to obviously focus our sales team on driving that sort of top line performance. Certainly, we did see higher expenses during the fourth quarter because of commissions than we were originally expected when we offered our guidance. Of course, you have to accrue the full amount of the expenses associated with the fourth quarter bookings. But of course, you only get partial benefit in the P&L because many of those commissions are associated with dollars that are now registered as deferred revenue. And we'll get the benefit from that over the coming several quarters.
Brad Zelnick: And just if I can follow-up with one last one. Enrique, appliances out of vision were a very hot topic last week from the NetBackup appliance, FileStore and your announcement of the Backup Exec appliance. Can you just comment a little bit more about what they're contributing today, what are the take rates from customers and how can you see this expanding and applying across the whole portfolio?
Enrique Salem: Yes. As we close the fiscal year, we saw a strong performance by the NetBackup appliances in particular and the deduplication capabilities. I expect that to continue. Everything I'm seeing initially in this quarter already says that, that was not a one-time phenomenon. The customers clearly see the benefit of the integrated software, hardware solution in one integrated device. It speeds up deployment, it simplifies deployment. And so I expect that to continue, and I think that we're going to see a real positive boost to our Backup and Deduplication business in particular as a result of these appliances.
Operator: We'll take our next question today from Walter Pritchard with Citi.
Walter Pritchard: I'm wondering -- it was pretty well-publicized during the March quarter that the PC environment weakened quite a bit even as the quarter progressed. I wonder if you can just talk through, Enrique and James, what impact you saw on your business there from a weakening consumer PC environment. And sort of how do you look at growth in the Consumer business in light of what looks like still a pretty stagnant PC environment here in the June quarter?
Enrique Salem: What you continue to see is there's a number of things we put in place to do a much better job of monetizing new customers and the existing base given our ability to more effectively target customers, given the eCommerce capabilities plus our ability to cross sell more of the portfolio is clearly continuing to benefit the business as you saw 5% growth year-over-year. The other thing I touched on was that the new services accounted for 1% of the growth. So this is things that we recently introduced like our Norton live services where we're trying to make it much simpler for PC users to manage, control and use their PCs. And so what we're seeing is while, yes, you're right, there's definitely a softening in overall PC sales, our ability to more effectively deliver these new services is absolutely a benefit. The other comment I would make is as we look at the new platforms, Android devices, IOS devices, tablets. We are now very focused on taking our consumer products beyond our traditional PC market and we have had a lot of success starting to get some of these new capabilities into the marketplace. And so my expectation is over the next 12 to 24 months, you'll start seeing some of these new mobile capabilities start becoming a more meaningful contributor to the overall Consumer business.
Walter Pritchard: And then, James, just a follow-up on that with regard to expenses. I know that a lot of the PC OEM costs come out on shipment and it seems like with PC OEM shipments actually down year-over-year that you might have seen a decline in payments out there. I'm just curious if you can give us a little bit of a finer point on what you saw from an expense impact on the dynamic we're discussing here?
James Beer: Yes, versus when we offered guidance for the quarter, we saw OEM fees come in lower to the tune of about $0.01 worth of EPS.
Operator: We'll go next to John DiFucci with JPMorgan.
John DiFucci: Enrique, it looks like the Storage and Server business has churned, at least it's been struggling for a while. I know NetBackup and Backup Exec have been doing well but the rest of the storage, including Storage Foundation. I was just curious, how much of that is resulting from a renewed focus by Oracle on the Solaris platform? Because I believe that it's still something like half of Storage Foundation's on Solaris versus continued traction with the backup products and the product cycles you're seeing there.
Enrique Salem: Absolutely, our backup products saw a double-digit growth in the period, which we're very pleased with. What you see in the Storage Foundation high availability area is we're being more effective in non-Sun platforms. I mean HP is contributing more to the overall business. Linux, Red Hat, in particular, is contributing more to the overall health of the business, plus, we're bringing on new solutions. You heard comments around a little bit of what's happening with VMware, around AppHA and our Application High Availability technology. And so clearly, while we've seen some stabilization in the Sun-Oracle platform, it's really what's happening on the other platforms, Linux, HP-UX, AIX and then obviously some of the new solutions.
John DiFucci: And, James, a follow-up to Brad's question. You pointed out the margin impact on paying commissions for those large enterprise bookings upfront and that's totally understandable, and that'll be recognized as we go along in the future, but the expense or at least the big expense, sales expense, that's already been incurred. I would expect to see margin expansion or margin improvement next year at least in this business. Is that a fair conclusion?
James Beer: Well, we would expect to grow both top line and our margins over the next couple of years or so. And we'll, in fact, give you an update on this at analyst day in a couple of weeks time. But I think part of what we're seeing around margins and their trajectory is that we do have more opportunities we believe now for growth of these emerging businesses that I was referring to, appliances, hosted and so forth, several others. And so those will tend to put a little pressure on the core for our operating margin while at the same time we look to drive productivity in the core of the business. So it'll be a variety of those types of effects that will allow us, at the end of the day, to continue to build operating margins.
John DiFucci: So the net of that should be some improvement in operating margin?
James Beer: Yes.
Operator: Our next question, we'll go to Heather Bellini with ISI Group.
Heather Bellini: Just a follow-up, I guess, on the operating expense question that you've been getting asked about. I guess, my question is, as operating expenses are a little bit higher, and I know a lot of that has to do with the outperformance on the bookings line, should we start thinking that you feel confident that based on your past comments that top line growth should start to accelerate back to the target levels that maybe you guys had thought about in the past so that some of this OpEx reinvestment is actually going to generate faster revenue growth than what we've seen of late?
James Beer: Well, certainly, I think, as we've shown with the guidance for the June quarter, we're looking at a range that's in essence up 10% to 11% year-over-year. So that's, I think, pretty clear signal as to what you're talking about there.
Heather Bellini: And then the last question would be, and I apologize if you answered this, is the worst behind us now from the Sun acquisition with Oracle acquisition...
James Beer: Yes. I think just in terms of the impact of the OEM relationship with Sun-Oracle, clearly as each quarter goes by, the year-over-year effect is getting less so. Now I would expect there's still to be a material effect year-over-year on the SS&G group. It's business over the next couple of quarters, June and September quarter, after that, we really start to see the year-over-year effect to be very small. And the other thing I'd say is, of course, around that OEM relationship, the license sales have really almost gone to zero at this point, whereas the maintenance sales are stickier as you would expect.
Operator: We'll go next to Robert Breza with RBC Capital Markets.
Robert Breza: James, I'm wondering if you can talk to us about the backlog or maybe Enrique, talk about the backlog and visibility. Clearly deferred revenue was very strong. You talked about 72% of next quarter is going to roll off the balance sheet. I think that's probably near an all-time high. I'm wondering if you kind of put that in context relative to the pipeline and the visibility you have.
Enrique Salem: Let me comment on the visibility in the pipeline. I mean, we are definitely seeing continued confidence in the IT buying segment, meaning that IT buyers are feeling like there's a number of things that they need to sort of catch up on specifically as they think through migration to new versions of Windows, the increased growth in storage. And so there's some pent-up demand that I think we're benefiting from, and I expect that to continue. Now it's clear this is our first fiscal quarter of the new year and so I'm confident, I'm comfortable with the guidance that we have put out for revenue and EPS this quarter and that takes into account the improving visibility that we do have. As far as the deferred, James, you want to make a comment on the 72%?
James Beer: Yes, and I think it's illustrative of how subscription sales are becoming a more important component of the overall picture. I commented in my script about how those sales now were up 37% of total revenue, up from 34% a year ago. And that's very much showing the continued growth around Consumer, Hosted, on the Software as a Service side and areas of the business like Managed Security Services, and I would expect those parts of the business to continue to grow. So I would expect subscriptions to continue to grow as a proportion of the total.
Robert Breza: Any kind of long-term target on where you think those could be, James? Do you think 12 to 24 months, we could see kind of that continued 300 basis improvement or is that too aggressive at this point?
James Beer: I don't have a specific target to share with you this afternoon. But I think, yes, a continued extrapolation approximately is a reasonable benchmark.
Operator: And we'll go now to Adam Holt with Morgan Stanley.
Adam Holt: A couple of questions around the Storage and Backup business. Is any of the strength you see in that business people starting to go back to more forward buying on the storage side and where do you think we are in what has obviously been a very strong product cycle on both the Backup Exec and the NetBackup side?
Enrique Salem: What we're seeing is pretty clearly driven by just the growth in the volume of data. And we did the largest NetBackup deal ever. And that's just customers saying they need to continue to rethink how they protect their data, and that's happening broadly. I mean, a lot of the big deals that we did had a NetBackup component. And as people adopt virtualization, as the data grows, they need our help and as the clear market leader, we're seeing some good benefits there. As far as where we are in the refresh cycle, you're absolutely right. I mean, we shipped brand new versions of NetBackup and Backup Exec about a year ago and customers are continuing to move to those solutions. The other thing, though, that was commented on is this notion of the backup appliances. I think what we're doing with the appliances given our strong position on the software side, integrating that with the hardware side, customer see a very clear benefit. What they see is Symantec's the market leader in backup from a software perspective. We're now delivering a appliance form factor, which is the best of both worlds that they can get from us, and so that's a real benefit. I think we're going to continue to see strength in our Data Protection business, that includes archiving. And when I look at e-Discovery, I mean, I'm seeing more and more activity from customers needing help with legal discovery. And so I see that as a nice add-on opportunity to what we're doing in the core Backup and Archiving business.
Adam Holt: If I could just ask a quick follow-up on the Mobile business, you said over the next 12 to 24 months, you'll see more mobile capabilities accelerating. How do you think that happens? Do you think you'll increase your attach rate on tablets? Are you in front of a new product cycle? What do you see as the primary driver of that?
Enrique Salem: On the enterprise side, in particular, what we see is customers are all telling us they want to adopt a policy of bring-your-own device to work, meaning that people can bring their own devices. And as they bring in tablets, as they bring in Android or IOS devices, what they want to be able to do is have a certain level of control on those devices equivalent to the control they have on a company-issued PC. And so our ability to manage, whether it be a tablet or phone or a desktop or laptop, is a clear benefit to our capabilities that we offer today. And so as we bring that together, that creates an opportunity because customers don't want managed phones and tablets one way and laptops and PCs another. And so as you think about our portfolio, that's a very logical extension to what we're doing with our Altiris platform. When you think about -- one of the biggest challenges people are worried about right now is what information is getting onto those tablets, right? They're worried that corporate confidential data is getting out to that device and they don't have the same control or security and so they're asking us for help on how do you keep that information off the device, how you also make sure you can authenticate a user that's going on to that device. And so I see clear opportunities in the enterprise space to unify management, to simplify authentication, to improve data loss prevention. And if you look at the performance of our DLP business, clearly they're saying give us DLP on these mobile and tablet form factors. On the consumer side, what we're seeing is clearly, there's a series of other things that we can do, new capabilities that we'll be talking about on the mobile platforms. They're quite frankly different than what we've traditionally done on a PC. It's, in my opinion, short term. It's a little bit less about anti-malware, it's more about simplification, simplify authentication and also help them be able to synchronize information more effectively. And so I see opportunities both on the enterprise side and the consumer side as customers and consumers adopt tablet and other mobile form factors.
Operator: Our next question will go to Brent Thill with UBS.
Brent Thill: Enrique, your conscious strategy of de-emphasizing your internal services work and giving it to partners. Can you just give a sense of how that's impacting you in the field? And considering the bookings number, has that been helpful to what you've been seeing the last few quarters in terms of the improvement there?
Enrique Salem: We embarked on that strategy initially in October of 2009 with our mid-market customers and we expanded, as you know, at the beginning of last fiscal year. As I talked to our partner community, it really is being very clear that, that is driving partner loyalty towards Symantec. The channel is absolutely saying it's driving them to be more loyal to Symantec, and that's a clear benefit. As far as at the higher end of the market, our own sales force is now being compensated on license sales and on -- not on unnecessarily selling the consulting services component. And so that is absolutely driving a focus because to make their numbers, they have to drive the sale of our products and licenses around our products, and so it's clearly been a benefit. We had a couple of transitional issues as we enabled the partner community at the beginning of the fiscal year but we're well through that at this point. And we're pleased with the partner-led consulting efforts. But clearly, we continue to think of ways to refine that overall effort and make sure that our sales team focuses on what we want, which is driving new licenses.
Brent Thill: Just a quick follow-up for James. You saw a material increase in big deals over $10 million. I think you had over $100 million incremental gain, if that's right in terms of the numbers you gave year-over-year.
James Beer: Yes.
Brent Thill: I guess, other than just cross selling a number of these new products, were there any common characteristics that you're seeing in these big deals?
James Beer: Well, I think there was a lot of the customers recommitting to our Storage Management as well as our Backup businesses. And at the same time, DLP is clearly a key security technology that the biggest customers are investing in quite quickly. And we're very pleased to be the leader in that DLP field, I think, quite clearly. And we've really been able to benefit in these very large deals as a result. So it's really a combination of those 3 themes that were driving things. The other thing I'd say is we have a strong quarter in financial services, in particular, but it wasn't just there. It was across several different verticals.
Operator: We'll go next to Phil Winslow with Credit Suisse.
Philip Winslow: First, you, Enrique, obviously, you had a very strong license growing year-over-year. You talked about increasing emphasis just on license revenue. Should we expect any changes just with the turn of the fiscal year, whether it be on the comp plans? It didn't sound like that was going to be the case or just the structure of the go-to market strategy. And then also just, James, wondering if you could give us a little insight in that interest and other income expense line? That's been recently high the past couple of quarters obviously with some of the debt, but how would you expect it to look in Q1 and then kind of trend over the fiscal year?
Enrique Salem: Phil, at this point, no, we're not planning on making any structural changes to the overall sales organization. We're seeing increased effectiveness in the current structure. We're pleased with the execution we just saw the last 3 quarters of the fiscal year, and clearly, the specialization that we've driven and how we focused on not only our own team's specialization but our partners and channel specialization is working. And so at this point, we're not planning on making any changes to the sales force.
James Beer: In terms of the below-the-line items, I wouldn't point to anything particularly material per se. Obviously, the interest income will go up and down based on where the cash balance is. As I've mentioned in my remarks, we'll be paying back the last [ph] $600 million of the 2011 converts shortly, so that will reduce the cash balance and a little bit the interest income. We do have the higher interest expense as a result of the debt that we entered into last year. And then the Hua Sy [Huawei Symantec] joint venture is the other item that we particularly break out there and we'd look for improvements there over time.
Operator: We'll go next to Kash Rangan with Merrill Lynch.
Kash Rangan: Enrique, I think you mentioned on the VeriSign side that you're experiencing a mix shift towards the higher price to premium versions. That's not something that we'd been hearing in a while of VeriSign stand. Can you talk to what's driving that? I know you've talked about an up sell strategy just right after you made the acquisition. Is that what is driving that the mix shift towards the premium versions? And my follow-up question is on the corporate securities side, if I were to pick at all at anything if you excluded the acquisitions, it looks like growth is relatively flattish. So does that get better as you start to get the revenue recognition from the bookings going forward?
Enrique Salem: Kash, as you commented, one of the things that we always knew would be a benefit to having the VeriSign Security Business inside of Symantec is the ability to cross sell more security capabilities at the moment of purchase of the core certificate business and so we're absolutely seeing that, examples, we talked about host-based security but we're also -- the malware scans, meaning, making sure not only do they have extended validation certificate but also that the site is regularly checked and not having any issues with malware being embedded on the site, and so our ability to expand what is being sold has clearly been a benefit. The second point is, given our consumer distribution and our ability to take our what we call Seal-in-Search to many more customers, what you're starting to see is, people seeing the check mark, which is associated with trust, on lots of search results. And so they're starting to be -- our view -- that customers are seeing the real value of working with the extended validation certificate. And because when you do that, that's when you get that extra level of assurance when you do a Google or Yahoo! or Ask search. And so that combination, we're able to more effectively monetize the high-end certificates. I also have to say that the team that came over from the VeriSign transaction is just doing an outstanding job. They're very focused, they have very capable leaders and they are driving a very disciplined process that we're reaping the benefits of. And so, so far, I'm very pleased with our ability to extend the capabilities and the execution of the team. Kash, you had a second part to your question?
Kash Rangan: If I had to pick apart the Corporate Security business, if we exclude the acquisitions growth, looks like it was a little bit flattish. I'm wondering if that gets better especially as you start to recognize the revenues from your deferred revenues.
James Beer: Well, I think, you've got a few things going on in that business segment. Within there, we have our hosted services or certainly the majority of them since they're security oriented, and I would expect those to continue to grow as they did nicely in fiscal year '11. On the other hand, the Endpoint Security business while we believe is going nicely in the large enterprise end, we've still got some challenges around the SMB sector. And so it's really going to be the netting out of those effects that will drive the growth rate of security and compliance x acquisitions.
Operator: We'll take our next question from Philip Rueppel with Wells Fargo Securities.
Philip Rueppel: On the security side, you mentioned DLP a number of times. Is that a segment getting a second wind or are you just starting to see bigger deals? Is there a more broad-based strength? And you also mentioned that you see a lot of ties with encryption there. Are there other products that it is dragging along? And is it itself becoming a meaningful piece of the security revenues?
Enrique Salem: DLP is definitely we're seeing both -- we are seeing larger deals but we are seeing expansion into just the broader segments of the market. We also are seeing expansion into Europe and other parts of the world because historically that had been a business that performed very well in the U.S. and we're seeing it expand outside of the U.S. We are seeing a pull-through of other products -- encryption. It's changing and making our relationship with the CISO much more visible and prominent. And so it is having a positive effect on the overall performance of security, and we expect that to continue given the number of high-profile events that have happened over the last 12 months or security incidents that have happened over the last 12 months. Customers are absolutely looking for what do they need to do to protect their confidential data, their intellectual property and information they use to run their businesses. And so we expect DLP to continue to perform well.
Philip Rueppel: My second question would be around the consumer space. Are you seeing any changes as you define that more broadly to include mobile changes and who you view as competitors and any update on anything that has transpired with McAfee now that it is fully absorbed?
Enrique Salem: Yes, I don't think we've seen any big changes there. At the end of the day, I'm feeling very good about the momentum. Both our Consumer Enterprise businesses are building. We clearly see as the acquisition of McAfee into Intel that they're going through an integration process and that creates a distraction, disruption for them and we're going to capitalize on it. We're obviously focused on what they may bring out. We're listening and watching. And right now, we're focused on executing our strategy, which is how do we help customers clearly take advantage of all these new devices that they're using and help them be much more flexible in letting their employees use those devices. And so ultimately, I feel very good about the opportunity ahead of Symantec.
Helyn Corcos: So with that, we're at the top of the hour. We thank you all for your questions. I'm going to turn it back to Enrique for some final comments.
Enrique Salem: So I'm clearly pleased with how our team executed, better than expected in the March quarter, and I'm optimistic about our prospects for this year. And I'd like to thank you for joining us this afternoon. I look forward to speaking to you again soon. Thank you.
Operator: And ladies and gentlemen, this does conclude our conference call. We appreciate your participation.